Operator:
Deborah Honig: Good morning thanks for joining us. We have Microbix presenting their Q3 results. With me Cameron Groome, CEO, Jim Currie, CFO and Ken Hughes, COO. As always, this presentation will contain forward-looking statements. If you'd like to know more about those, you can find them on the company's presentation on the website. And there will be a Q&A section at the end, so feel free to enter any questions you have at the bottom of your screen or you can email them to me. With that out of the way, Cameron, nice to see you.
Cameron Groome: Great to see you too Deborah. Thank you so much for putting this together and for everyone on the line for joining us. Thank you for your interest and your support. And likewise come in Ken.
Ken Hughes: Yes looking forward to hearing more about the Q3 numbers as well as I think you’ve got a new presentation Cameron.
Cameron Groome: Well, exactly. And we'll have to see how much we want to page through that. But we'll certainly; I think touch on a few slides in that deck.
Ken Hughes: It should get -- later today, too.
Cameron Groome: Perfect. Perfect. Thank you so much. Well, I'll make a few comments, maybe and then I can ask what Jim and Ken might want to supplement. And Deborah, you can certainly please do step in with any particular questions that you've gotten from shareholders. And I understand that shareholders can also submit questions on the Q&A section of zoom, that that certainly we'll address to the best of our ability, as long as it's not jeopardizing any delicate, on-going discussions. So I summarize by saying, certainly, from management's perspective, we're very much executing according to plan. Q3 I would classify as a solid quarter within range of our top line and bottom line expectations. And to the extent that, that anybody's asking and forecasting, I think was within range of those forecasts as well. By business units, I would say, very much the highlight would be our first major and multiyear agreement to provide QAPs to a multinational diagnostics company. And is everyone who's perhaps attended prior presentations would know one of our objectives for our quality assessment products of QAPs has been to secure alliances whereby those QAPs will be included its fixed ratios in the kits of test cartridge consumables of major multinationals particular point of care diagnostics. So that if someone's selling, for example, a billion cartridges a month and our QAPs are concluded ratios of one to 25, for example, that means 40,000 units a month of sales for Microbix and that certainly very favorable pricing. And this alliance that we announced just for the quarter on August 10, we're we've been working with that party for a long time, many, many months, before securing this purchase and supply agreement really showcases exactly that kind of business, we've been working with cheap business that is recurring, relatively high margin, very sticky business associating with these companies. And it's been our objective all along the lock that end and this is a contract as we hope to secure many others that started several million dollars of incremental sales here, certainly, on the order of 5 million for this contract and grows thereafter, across its five year initial term. And I'd also want to highlight very much the breadth of that relationship. We're very much absolutely the further thing from any kind of COVID-19 play. The infectious disease area is so much more broad in our biological world and this purchase and supply agreement really reflects that threat [ph]. This is an alliance that covers a portfolio of cutaneous or skin lesion diseases, covers gastrointestinal infections covers a whole panel of respiratory diseases, viruses, and sexually transmitted diseases, literally addressing dozens of pathogens, and shows showcases the breadth of our expertise, and just the breadth, what is circulating in our communities and continues to circulate whether or not they're in the headlines on a day-to-day basis. So this is exactly the type of customer agreement that we wanted, spoken about, and that we're committed to replicating. And many times, and I was looking at the definite dictionary definition of many earlier just to confirm. So this again, and it speaks to why we've been investing in our people, our systems, our equipment and our facilities. It's all in order to support this emerging growth from a top line basis, from a gross margin dollars basis, and from a debt earnings and cash flow basis, you're targeting, just again, emphasize that a top line of at least $100 million within the next several years, that's what we're building to support our infrastructure for. And in fact, we soon see Microbix moving from its current level of about $5 million of sales per quarter plus or minus that we've talked about, to run rate closer to $10 million a quarter with our objective of getting to that run rate by the end of fiscal 2023. And that sounds like a lot of growth, extraordinary sales growth, but in fact, just required bores, on-going success in locking new QAPs purchase and supply agreements alongside relatively status quo, top line for antigen and VTM businesses, which certainly we’ll hope to exceed those two businesses well, so numbers that are achievable. And of course, there are external elements such as supply chain disruptions that we don't control, particularly when they're on behalf of our customers. And that's why at some levels, you've seen us delivering, but not precisely on the timelines that we've originally spoken about, because we can only control the internal factors that affect our business, I think we've been very successful in managing through a great deal of economic market and healthcare turbulence over the past several years, and are committed to keep achieving for shareholders and keep delivering very real and sustained value creation. And ultimately, that gets reflected in the visibility of the company and the success of the company and in the multiple widgets trades, which right now is certainly lower than we might have expected. But it's reflective of a general risk off approach in the market where investors are generally staying away from smaller capitalization companies and although we're in an incredibly strong position with revenues with positive EBITDA with positive cash flow, positive net earnings, and the incredible balance sheet strength, I think we get bucketed in a little bit with that small cap are tarred with that small cap brush, even though we are indisputably strong in our financial position, and are very much healthy, strong operating business getting bigger, getting stronger and ultimately will achieve the visibility and the market recognition that is justified by our performance. So that'll be my general comment and characterizing the core. And maybe, Deborah would you like to address some questions from shareholders or perhaps we should have Jim and Ken supplement my comments with a few of their own.
Ken Hughes: I'm happy to extend what you said there, Cameron, as we've been talking about for a long time COVID, our COVID product portfolio is basically exemplifies what we do, it's not even close to the entirety of what we do. This new opportunity in terms of full portfolio of cuts in multiple disease states, illustrates our intellectual property, and our scientific and production capabilities that we've been building up in Microbix. We spent the last little while and I've used the term future proofing and capacity building many times here. And we're set up with the necessary capacity to service this and multiple other opportunities now, and going forward, and we continue to build our capacity, and the necessary systems and expertise in teams to make sure we can meet these opportunities that come our way. The supply chain thing applies to everybody, including us, but we've managed supply chain very well and a lot are slightly it and there will be slight, it will be associated with supply chain chains elsewhere. Our capacity is in place, with people with science, with facilities, what we can do going forward and I hope everybody recognizes this opportunity that we're very, very much more than the COVID clear, which we've been seeing over and over again last year or so.
Cameron Groome: Thank you, Ken. Jim, what would you comment on?
Jim Currie: No, I think you've covered mostly. I mean, I can go into lots of details about the quarterly results and where they're from and what's happened. But I think what's probably best is maybe await some of the questions that people might have, and respond to those questions as they come out.
Cameron Groome: Very good. And Jim, maybe you could comment just on some of the financial strength ratios, I think, with concerns about capital market conditions and so forth. Could you comment on our balance sheet and, and a little bit of our directionality in terms of cash generation or uses?
Jim Currie: Sure. I think what we've as Cameron’s alluding to, is we've spent a bit of time over the last, I'd say year and a half two years, improving our balance sheet. And this current quarter, we're sitting with a current ratio of close to eight to one, and the debt equity ratio of point three, five, excellent numbers for a company like ourselves. We've continued to grow our cash, which is going to be utilized to support the strategic initiatives that we've got underway. Both Cameron and Ken have identified where we're prepared, and we're capitalized, to support the growth, and we will have no trouble being able to generate the production and the sales that are reflected in some of these new agreements that we're seeing. We've got one, like certainly, as Cameron indicated, I think he indicated, we certainly expect more and more in the coming months. And we are prepared to build against that order flow that we see going forward.
Cameron Groome: That's great. Thank you Jim.
Deborah Honig: I have an audience questions. You guys are ready.
A - Cameron Groome: Sure thanks.
Deborah Honig: And so why would a large multinational diagnostics developer come to Microbix for test controls versus developing their own internally?
Cameron Groome: It comes down to so many things and you know what Ken you're absolutely chomping champing at the bit to go after that? So go go go? I'll, I'll do clean up on that one.
Ken Hughes: Well, I mean, we have -- the expertise and in intellectual property in this area. So from a scientific perspective, from a quality management system perspective, from production and manufacturing perspective, this is what we do when we do it very well. Our clients normally do it very well. And we do it better than they do. And so they come to us for our expertise. But they also come to us because we're a third party. From a regulatory perspective, using a third party control say for their testing platform, gives them the surety that our regulators surety that they're not gaming the system because we're not them. So they come to us for our expertise. They come for us for regulatory requirements, and they come for us, because we know we respond quickly. I think we've mentioned before the Omicron controls that we developed in eight weeks to fully develop IVDs nobody else can do that in a meaningful way. And they are well aware of that. They have audited us have been in our facility to see what we do. They know what good at what we do, and we have the ability to build it from there. So they want to form these relationships to support and secure their testing and of course they work with us because we're not the competitors. We don't make tests. We make everybody's tests better. And they're well aware of that. And that's why they work with us.
Cameron Groome: Great, great answer Ken all boy that trying to improve on that good one, but I'll try to supplement it a little bit. We work with a tremendous breadth of organisms as well. So we have within our libraries internally, we have all the organisms or can access them. We know how to work with them, and titrate to controls towards the limited protection of their assays. So it's a real challenge from a quality perspective of the test to say, hey, is it really working to the level it's supposed to? We have the format's that are required, whether it's liquid, or on flocked swabs, we also have the ability to stabilize these samples, and ensure they are of course, ensuring they're non-infectious as well. So it's really the full toolkit. And as Ken was mentioning, all the quality systems and the scaling, and that's been a big thing we've done over the past few years as well. We used to make 100,000 files a year of the small vial quality assessment products. And then, of course, more recently, we moved to make 100,000 files a week of our viral transport team. So not only can we do this work of quality, we can do this work at scale. And somebody needs to know that they're not going to have their critical, a critical piece of their overall value proposition fall down and prevent them from making any revenue. So they need to know that we're a secure partner. And that's one of the reasons why these relationships will be very sticky for us. So it's just the highest quality of business you want to get. And that pretty much Jim, was there anything we missed there?
Jim Currie: And I was just on muting. But no, I can't answer the technical side of things. But I think one of the things that Ken did identify is that, if they did, they just can't have the auditing themselves, or to be seen auditing themselves to use an analogy. So that's why they want to use third party controls, to make sure that their systems are working and functioning, as they say they are.
Ken Hughes: The clients are very, very well aware of the excellence of our R&D and scientific teams. And then that leads into the quality management system and the manufacturing and skill and the compliance we have, which is also excellent. So they're well aware of this continuum of support we can provide and then use it accordingly. There's no point reinventing the wheel when we have a better wheel and a third party wheel as previously discussed.
Deborah Honig: And how is QAPs penetration going among clinical labs?
Cameron Groome: I think the clinical lab side has been slower penetration than we anticipated at the gate. We've exceeded our expectations of working with the test manufacturers for providing in kit controls, and I would say the penetration amongst labs has been slower. A large part of that has been due to COVID related matters more difficult to get in and physically see people of course, and then the focus on COVID is limited the broader discussions that need to be had and should be had. So that would be, that would be tailing our expectation or by our objectives on the clinical lab side. But I think that's a question of delay not derailed.
Deborah Honig: Okay. I had a question for you, Cameron. Actually, maybe you can walk us through what happens if the U.S. decides that COVID is essentially over and removes the emergency designation for a lot of the testing. How does that impact Microbix?
Cameron Groome: Well, there are a lot of respiratory tests out there that were approved under the emergency use authorizations. And effectively the requirements for compliance controls was waived temporarily. So if the emergency use authorizations are withdrawn or given a runoff timeline sunset whatever you want to call it, those companies have a choice, they either need to get compliant with controls, or they have to withdraw their tests from the U.S. market. And if you build up a market in the U.S. for COVID testing or for respiratory multiplex testing, the last thing you want to do is have to tell your customers sorry, we don't have a compliant control, we'll need to withdraw from markets. So that's actually leading companies to Microbix to say, gosh I know this is coming. I might not know precisely when, but I need to get serious about this. And we're, we're seeing some discussions that have been simmering, certainly moving much closer to a boil if not already at work. So it should be very much a benefit for us in that respect.
Ken Hughes: And of course, COVID is not going to go away. But let's say for the COVID’s discussion, it did. There's a whole portfolio of other testing, viral testing that needs to be done. One of the things that was delayed because of COVID was our full portfolio of human papilloma virus testing for cervical cancer and other cancers, that is taking off throughout the world now and keeping the capabilities to test is going to drive that market. And we’re absolutely right there to support it. We've talked about gastrointestinal other sexually transmitted diseases as all our portfolio stuff, which we develop in our labs for controls that will be needed down the line. And of course, there's the respiratory portfolio on top of that. With COVID miraculously disappeared, which it won't, there's a whole lot of opportunity first down the line. So, but it will be incremental to COVID going forward, and we'll be able to service it all.
Deborah Honig: Okay, great. Let's stay on the QAPs theme for now. So we're not jumping around, are there any risks or challenge that scaling the QAPs production capacity to several 10s of millions of dollars over time.
Cameron Groome: I think there are always risks and challenges. But let's specifically identify them. One of those is the is the physical volume of production. And we've been looking carefully at our space needs for the physical spacing of that as well as laying in automation of pinch points steps so that we don't hit pinch points in an unanticipated fashion. So we're, we've been looking at things like pouch handling and sealing methods and making sure that those are bulletproof and scalable. And ultimately, we'll move in the direction of front to back automation. But that won't happen immediately. But we can produce now well into the millions of units per year. And we'll be looking at carefully to make sure we don't get a pinch point without adding space or capacity well in advance of that point. In terms of so those would be, really the scaling challenges. They're more technical elements that we need to keep watch of, such as making sure that there's no cross contamination between product lines, and there's proper line clearance and so forth. But those are more normal course of what we do. And what would you what would you want to flag there?
Ken Hughes: Well, we have that additional capacity for the growth we're enjoying right now. And we'll continue to enjoy it for the next little while. But basically, like back to future proofing and capacity building, we're staying ahead of the curve to make sure by the time the capacity of the class the needs are larger; we have the capacity to service them. We don't anticipate any sort of interruption our capabilities to scale, the technologies involved are well understood to us since some of that becomes redundant and modular. And some of it is already in place as we move forward from there. So we don't anticipate any problems in scaling to meet the market trajectory we're on. And again, we're getting ahead of that. Now, the complexity of the business increases with multiple skews as we start selling them. But that's why we're upgrading our QRS system to fully integrated eQMS. And also upgrading our ERP and integrating it fully. And that's why we hired the director of IT to build that capacity to manage those files as we move forward, including more complex inventories, and so on and so forth. All that’s in place, all of that’s ahead of the curve for where we're going. And so we don't anticipate any particular problem and always be nice. In terms of what we do, we are very well positioned to service the growth we're going to enjoy in the next few years.
Cameron Groome: It's well said. Jim anything you want to comment on about control systems, ERP and so forth?
Jim Currie: No, other than that the ERP systems, I think, our investment in IT in general, and our infrastructure is incredibly, incredibly important as we go forward and grow. And, again, it's something that a game that we're putting into place, well in advance of the need for it. But we've identified that need and desire.
Cameron Groome: Right. Thank you, Deborah. I'm getting I'm getting frightened, because I see the the number of questions going up not going down. We've got, we've got we've got time. So you curate, and, and we'll address.
Deborah Honig: I'd like to stay on QAPs. But since we're talking about the automation, there's a few questions on, are you looking around for a foresight. I think you've provided a pretty clear update on automation. And for QAPs and VTM, that maybe we can address some of those questions quickly.
Cameron Groome: Sure. Gosh, with regards to a force site, where we're actually having dialogue about that, even as we speak. The operations and manufacturing team is doing a magnificent job of maximizing the utility of the spaces we have. We're looking though, and saying what is the what is the cost versus the what is the cost of having space versus the cost of not having space. And as our businesses is now really moving into a very strong growth phase, the cost of hundreds of hundreds of thousands of dollars we’re having, for example, for the site might be offset against an opportunity cost of 10s of millions, potentially if not having foresight. So we are in fact, actually looking at that potential now. And, and I think we'll be taking that decision within days to weeks as to which where we see, we don't want to be getting too far ahead of ourselves, but we don't want to risk falling behind either. So these are, these are questions that are related to, high growth businesses, and we want to take good reasoned judgment and make sure we're, we're viewing the risks and the benefits and taking the right path on them. But, but yes, very much on our minds.
Deborah Honig: Okay, going back to QAPs, I had a very specific question on the recent announcement. So sorry, it's just on my email. So let me just read it out. In your most recent announcement on the QAP supply agreement, you stated Microbix may generate incremental capsules of approximately 5 million Canadian related to this agreement, and it's initially fiscal year of 2023. Can you give us an idea of how big this potentially can get beyond 2023? And what would be supporting factors for the contract to get bigger? Is there a chance this contract turns out to be less than 5 million annually in the future?
Cameron Groome: I would be shocked if this contract turned out to be less than 5 million. In the future, I expect that certainly its first year achievement will comfortably come in at or above that 5 million number or we would not have cited it in our news release. And I would look for it to grow substantially from there. So I could see this as the different tests that are that are going to into which our QAPs will be an integral part gained traction and success in the marketplace. I would see it rising multiples of that $5 million number over the five year initial term. And ideally, these are forever relationships. We're not getting into these with the intention of pulling the ripcord at the end of five years. These are relationships that I would hope will span multiples of that time.
Deborah Honig: And then maybe can you comment a little bit on the pipeline for QAPs for the second half of the year and maybe first half of next year and what the biggest hurdles to signing additional contracts are?
Cameron Groome: Some of the hurdles are including some of the hurdles are internal, certainly formulating products that are suitable for the individual companies tests. Some of them are relatively off the shelf. Some of them require tuning for the specific limits of detection of different tests assays, you want to come in to pose a genuine challenge to the test and say, is this towards the limit of the lower limit of detection, so that you are checking truly if everything's working properly. So there can be that element of customization. I think our team is brilliant at that. I don’t see that as a big hurdle. Likewise, with multiplexing, and formulating some of the challenges we've had, and frankly, this agreement, I think we were hoping that it might have been signed six months ago. But there are supply chain issues affecting our customers and technical issues, and formal and finalizing assays and regulatory filings that are not within our controls within our control, not within our controls. So those are the things, I think there are challenges at the level of our customer, are they ready to roll out those tests? Are they ready to accept the incorporation controls? Those are some of the rate limiting factors. And then, of course, because all of the companies are operating under quality systems as much as we might be comfortable doing so these sorts of agreements can't be done on a handshake, they have to be fully documented by both parties. And just the documentation of these agreements can take some time.
Deborah Honig: Okay, and just winning that big QAPs contract make it any easier or harder to win other contracts, i.e. other tests manufacturers gain comfort with you, or conversely, other test manufacturers don't want to use the same provider as a competitor?
Cameron Groome: It's a great question. I would say that it goes in on the comfort. I mean, we're still growing into this business. And folks that have done their due diligence checks and say, well, wow, yes, Microbix is a reliable strategic partner to have winning subsequent agreements and subsequent contracts. I see it getting progressively easier, not harder. And as Canada indicated earlier, we're not competing with every anybody here. We're not, we don't have our own tests that we're fighting to get market share on, we're trying to make everybody else's tests better. And defining our niches, where we can be the best and say, let us take this off your hands, you may be dealing with cartridge construction and microfluidic and software and other elements, we will handle the quality side for you. Let us do that. Take that worry away from.
Deborah Honig: Okay. Couple more QAPs questions that I think we should move on. Is the new QAPs agreement for partners have been well established market share or for testing systems to be launched or early in their launch?
Cameron Groome: Both. There are some within that portfolio that are existing and established. And some that are new. And people were trying to do a little bit 20 questions on me is to nail that down. But I would urge people to take a deep, take a long read as a news release. And I think you can start to piece together a shortlist, but I'm not going to go warmer and colder on who it is. It would not be respectful of them. And they're great, wonderful people. We love them dearly. They're great. And they say guys; we'd love to disclose this with you. But we can't corporately set a precedent where major component suppliers, every one of them wants to do, joint news releases or whatnot with us. So we ask they respectfully declined. But they were well aware of what we're putting out in advance.
Deborah Honig: They're secretly dating you, Cameron. They don't want to make it official. I've got one for you, Ken. So I would assume the automation manufacturing of QAPs is going well. And do you feel that any bugs have already been worked out?
Ken Hughes: Well, of course. I mean, we continue to knock them off one by one. And we have a process development group to address that and very, very matter. We have certain processes, which we've described as your semi-automated and we're working on four lanes as well, which dovetail into discussions of capacity. I suppose it’s most useful in this in this forum to see the automation we have online right now, which has been made and has been validated by our team is more than enough to deal with what we need right now and for the next little while. That same team is working on further expansion of capacities and capabilities going forward to be ahead of that curve. Getting out that there's always there for me, those are little things you have to work out but we do it ahead of time. So when the rubber hits the road, we're ready to go mix my metaphors there. But you know what I mean. So in terms of when we forget, we just have an excellent process development team, there's no two ways about it. And our clients know that. And that's why they come to us. So I don't anticipate any particular problem in this regard. We will move around a bit, we could talk about the bioreactor Rubella and the types of yields we're getting right now, which are so far ahead of where we were before, just another description of the process development excellence we have in Microbix. And that's going to continue. So I'm fully expecting to be able to support what we need to do in the business development side. I mean, not easily but efficiently and competently, which we always have.
Deborah Honig: Okay, let's switch gears to something other than QAPs. Cameron, do you want to talk about some big old or something new?
Cameron Groome: Either one on game?
Deborah Honig: All right, let's hit urokinase first. Maybe you can give us a bit of an update on what's going on there. I had one question that was asking to us recap why this product initially failed in the marketplace and why it could become a viable alternative. Maybe if we can just spend a few minutes there.
Cameron Groome: Sure. We’re certainly going back in in time in terms of matters. Urokinase was extremely loose, we're talking about low molecular weight, urokinase made in cell culture. It was a back in the day brand it is Abbokinase and later became Kinlytic. And the product was extremely well perpetuated in the marketplace, millions of patients treated successfully for both the catheter clearance application, which is our focus area. And for pulmonary embolism and for others systemic clots. And the product worked extremely well, and was extremely safe and extremely effective. The then owner of product was asked by the Food and Drug Administration to just do normal course updates with the best practices of its manufacturing. And I think it was riding pretty high at the time and refused. So you can patch in that perspective to refuse to me, manufacturing systems upgrades by a regulator is not a good place to be. So at that time, the regulator refused them to release subsequent batches to prove them for sale. So there was this deadlock. And the product came out of the market for a time. Cooler heads ultimately prevailed. And the ban over the product said yes, well, gosh, we'll make those upgrades. They made the upgrades product started to come back on the market successfully again, safely and effectively. And then that company cruised into a big corporate restructuring, whereby it sold off all of its hospital directed products. And most of its products went into one basket, this one had just returned to market and thought orphaned. And it was bought by another company that said, well, we'll sell off inventory, and be able to set up manufacturing self-generated cash flow, they weren't able to do so. And it's at that point that Microbix bought the full rights to this innovative drug. So beyond the fact that we what we call the drug master file associated with this as well as its registration, but in turn, well, we couldn't make it at our facilities. No regulator in their right mind is going to let you bid manufacture human therapeutic in a facility dedicated to growing viruses and bacteria. So we had to find another site build it, and for different reasons the company was going after the entire market, which would be a much more expensive endeavour rather than going after the specific path or clearance niche, which has been our focus. It's grown tremendously over the years. So now we're focused on partnering for catheter clearance which is about a 400 billion a year U.S. market and continued which continues to grow and we would look to capture with our partner portion of that market. So gives you a bit of the backstory it will go further down that rabbit hole with very good reasons for it all. And discussions are still active but they are securing a partner for Kinlytic and bring it back we're committed that it won't be at the expense of growing our revenue oriented businesses and we don't want to start those businesses for capital. So we want to find a partner who will commit all or at least be very much the lion's share of the commitment. And for us to secure, purely additive revenue, a royalty stream associated with the reintroduction of that very clinically important product.
Deborah Honig: Okay, and there are active conversations and still potential buyers for the asset.
Cameron Groome: Yes, there are I confirm that.
Deborah Honig: All right, let's talk about monkeypox. Does this represent an opportunity? What kind of products can be manufactured around it? And more importantly, do I get to go live on a beach for a year again?
Cameron Groome: I'm sorry. Which part of the question is from shareholders again? The -- Yes, with regards to monkeypox, we've been watching it very carefully, obviously. And we were looking to see does this go, does this go exponential? Or does it continue with arithmetic or is it a slope line upwards or a line going for? Don't see it thankfully, as something that goes exponential or, becomes a incredible global pandemic, but it has become a new pathogen that's become endemic in Europe, United States and other countries. So it will be an on-going problem, and pop up in different communities in different geographies. And we do see a market for that. So we have evaluated that. And we're looking at what exactly would be the composition of a optimal test control for molecular testing for monkeypox. And, we will, I think likely introduce a product that will support that testing further quality. But it's something we're not; we don't want to be chasing the headlines here. Everything we do is about the yield market opportunities. And it's working to define the real market opportunity will create a real product for it that will generate real sales.
Deborah Honig: Make sense. And while I clean up some of these questions, I know a lot of them are dealing with BTM. Maybe you can provide an update there on discussions with the Ontario government, other provinces, other countries?
Cameron Groome: Yes, we are having dialogue continuing. Of course, with the Ontario government. We've had the election cabinet shuffles tremendous assortment of the different levels of staff within the governments. So there is tremendous change over there and maintain the continuity of relationships within departments. We do see an on-going desire and for domestic supply of VTM, for ministerial level, and we see a fundamental need for product, we are working to broaden out the usages of Microbix as DxTM is it's not just about COVID. This can support transport, and sample collection of any virus. And of course, we're also reaching out to other provinces to make sure that they're aware of the existence of our DxTM and that works very well with for their own different viral testing needs. And really making Microbix part of their supply chain certainly, likely not 100% of their supply, but a meaningful proportion so that we can support them for surge capacity as well as baseline capacity also. With regards to other countries, of course, the principal ones would be the United States that would be involving filing what's called a 510-K premarket notification with FDA. It's something we could do and can do. It's not hit our radar at this point of view as a priority. But we will continue to evaluate whether that is appropriate. It makes sense strategically.
Deborah Honig: Do you see this revenue line as potentially dropping obviously it's been lumpy, but kind of on an annualized basis? Do you still view this as a growth area?
Cameron Groome: Yes, we do. We'll have additional capacity coming online. I think what -- we're a bit damned if we do damned if we don't because we created this business line so quickly. And shots zero to sales for proximately five years, the immediate criticism comes with that as well. You have customer concentration now? Well, yes, we had to start somewhere, of course. And now having a baseline base customer with Ontario, we're looking to broaden out the usages and the customers for that. But it's really reflective of the youth relative use of that product line.
Deborah Honig: And what happened to capacity for VTM? And can you give us an update on capacity expansion, when it will be fully automated?
Cameron Groome: Certainly. Ken, why don’t you jump in?
Ken Hughes: Yes, it's really easy for us to do 100,000 units a week right now. And capacity will go up four to five times that in the next couple of months. So we're putting these lines together. And right now with clearly NBS [ph] groups did manufacture these types of throughput devices, but we'll be installing it in the next at the end of this month, and then subsequently, in September, October, everything will be rolling. So the capacity is going to go up right now. So we're in really good shape from a capacity business.
Deborah Honig: And other potential use cases beyond COVID?
Cameron Groome: Oh, absolutely. Ken keep rolling. You're on it.
Ken Hughes: Yes. Yes, I mean, before COVID existed kind of imported over $50 million worth of VTM, from various sources of variable quality. So there's opportunities outside of COVID, of course, I mean, the infectious disease testing, if anything has been exemplified by COVID, it'd be nice, it's a good idea to do it, because if you don't do it, well, you suffer the consequences. So multiple opportunities in all sorts of different viruses and other pathogens in VTM, and VTM portfolio are going to be developing in the future. And of course, we have that expertise in manufacturing and development at scale, to support that. So yes, there's going to be a number of schemes coming out. There’s going to be a number of pathogens are going to be addressed with this going forward. And of course, we're providing a Canadian solution. So hopefully, there won't be another pandemic. But if there isn't another one, we won't be caught without trousers down again. So we're really, we have a Canadian secure supply for multiple applications going forward, when intending to build it accordingly.
Cameron Groome: I got nothing to add on that.
Deborah Honig: All right, I think that's all the questions that I had on VTM. I had a question about the R&D budget. So it looks like your R&D budget doubled in the quarter. What do you see as an on-going rate? And there was a follow up? And what direction is your what direction is your R&D directed? Think that's meaning, what are you investing in?
Cameron Groome: Great questions. Yes, our guess our R&D budget is going up. And that really reflects an intensity of product development for diagnostics companies on the QAP side that we're creating multiplex specific multiplex controls to support tests that will look for anywhere from four different pathogens to a dozen from one sample, and challenge each channel of those tests. So very important, very economic and very complex. So a lot of that work on R&D is directed to be of on-going work on improving the yields and reliability and consistency of yields with our antigen production that is on-going R&D work we have further applications and validations. And it's perhaps formulations of a viral transport medium. So all that is, is going up from an R&D commitment point of view. And all of that will be generating returns, we were not doing the so much of the our part is we are the -- and all of the projects we undertake, we have very specific objectives in mind that are going to be additive to our revenues and our margins.
Jim Currie: Just one other item. If people are comparing versus last year, we were still receiving funding from the Ontario government for some of our research and development activities. And that stopped at the end of last fiscal year. So that makes it look even larger the gap. But we certainly have increased our investments in research and development and we plan on doing so as we move forward.
Cameron Groome: Great, great point to make Jim. Thank you very much for making that comparison. If you're looking at several $100,000 difference between the prior year in terms of the grant offsets and the prior year.
Jim Currie: Yes.
Deborah Honig: Okay. Let's talk a bit about the antigen side of the business. I've got a great segway question into that. Would be great to get some color on the specific product mix and customers that drove the recovery of the antigen segment. Also, was the antigen segment recovered for the whole quarter? Or did it improve throughout the quarter to get a sense of its steady state or heading into queued for. I guess, if it's accelerating or not?
Cameron Groome: That's a fairly compound question. So I'll try to I'll try to break that down a little bit. We're seeing that across a number of customers that are that are coming back and seeing their cash flows start to normalize a little bit more. And, and that's very encouraging. And we're seeing that inclusive now of our distributor in China, which is, which is good as well, as those some of those Asian markets where one of the areas we were principally looking for growth on the antigen business side. I won't go into the specific, quarter by quarter product mix, other than to say, there's, there's a decent amount of variability in margins between our antigens, some antigens have very high margins, comparatively, some have lower margins. So the antigen area is, is the side of our business where they're the most quarter-to-quarter flocks, in terms of the gross margins. And you can see that the gross margin for Q3 is different than the prior year quarter had a point difference in the gross margins year-over-year and the better part of that is reflective of just the fluctuation of product mix of what shipped in antigens in a particular quarter. So it does inject some volatility in gross margins for the quarter, but we're continuing to work on improving the margins of each and every product in that portfolio. And that's through technical, technical upgrades and improvements, as well as making sure that we're putting through appropriate price increases to reflect changes to our input costs. And part of that includes becoming, making sure we're staying competitive from a compensation point of view with that we're rewarding our staff appropriately.
Deborah Honig: In terms of gross margin, do you have a target that you're willing to share with investors?
Cameron Groome: Yes, I wouldn't say so. We like to see new products coming in above our current gross margin, aggregate gross margin, to keep nursing that up. And, I think we certainly would love to see margins start with a seven integer, I think that's a bit of a stretch goal. But, but to get and keep margins in the 60s would certainly be something that that we're pushing for.
Deborah Honig: Right. On the antigen theme, you mentioned the Asian sales side of that business. Are you anticipating any disruptions to the antigen packet following the acquisition of meridian?
Cameron Groome: No, we're not. Interestingly, I think probably the most successful side of Meridian has been their ingredients, sales, business and different antibodies, antigens and reagents with whom we compete in some markets and collaborate and others. But all indications are that that our relationships will continue both competitively and cooperatively.
Deborah Honig: Gearing through for any other antigen questions, maybe I can just move on to some general questions. Are you still considering a stock buyback due to the continued continuing depress stock price and potential for buyouts?
Cameron Groome: Yes, that's a succinct answer. It's certainly been on our on our radar and on our minds, there's a lot of TSX requirements that need to be fulfilled and frankly, even though I've had a 30 plus year career in life sciences and capital markets, their life science company doing a share buyback is probably is where as hen's [Ph] teeth as the saying goes. So we've been familiarizing ourselves with that, looking to design things optimally for how we behave outside of quarterly blackouts, how we behave inside of quarterly blackouts and what the appropriate instructions to agents would be their compliance with regulations. But it is very much something that we intend to do. We see it as an extremely appropriate use of our capital, as we're generating strong cash flows right now. And certainly if we start looking at any kind of potential forward multiple of, of where shares are trading on a price to earnings basis, we see it as an effective use of shareholder capital. And also, protecting the value of Microbix as a currency to make sure that any bid is in the worst of one or abusive one. And if we were looking to make an accretive acquisition, that we protected the value of our currency. Jim, anything you want to supplement on that?
Jim Currie: No you've covered everything. Well, Cameron, related to that, I think it's, as we've continually indicated that we truly believe that there's more value in our company than is reflected in the current market.
Deborah Honig: Okay, another question. You recently hired Dr. Anu Rebbapragada, and I apologize to the doctor for probably butchering the name. They had quite an impressive resume; can you give us an idea of their role within the company?
Cameron Groome: Yes. Anu is, is it just has a mind blowing resume if I'm not sure I'm at liberty to share that, but, but she is everything that is reflective of that, and brings deep operational expertise in clinical laboratory medicine. Having been a senior director with major multinational diagnostics company, having been, I think, national lab director for Dynacare. So brings just a level of detailed operational knowledge and as well as tremendous relationships and a wonderful person. So we see Anu as helping us further our penetration and relationships within the clinical oratory industry, through her knowledge and contacts, as well as start building into a greater portfolio of services offerings, that pair extremely well with things like the DxTM, and paths and even our antigens for that matter. So we see a tremendous number of opportunities, and we're just thrilled that it came together with Anu to have us join her join us, as it did with our IT director, Dennis Haikalis who came in with tremendous clinical laboratory expertise as well as, as soon as his IT expertise. So we see these two directors just as fabulous hires, and are just delighted to add such great quality people from a capability as well as just a personality and great people as well as extremely well trained professionals. So delighted that the team in that way.
Deborah Honig: We're up on the hour, Cameron, I'm not sure if we've got a lot of extra time, but I do still have about nine questions left do you do?
Cameron Groome: I'm not going anywhere. I've got a hard stop at one. But I'm good for now.
Deborah Honig: Okay, so a lot of these are now disordered because they came in after we moved on from sections. So maybe we just go rapid fire. Okay, so this question continues to keep coming up in different forums. So maybe we can just address it holistically, talking about what percentage of current business is COVID related? Has just been impacted by a slowdown? Maybe we can go segment by segment and give us sort of what the outlook is in the post pandemic world.
Cameron Groome: Repeat that question. I apologize. I was just double checking my schedule and realizing that I had a hard stop at 12:30 not one. So apologies. But I'm back.
Deborah Honig: That's okay Cameron, [Indiscernible]. So the question was really just I keep getting questions about COVID and what the end of the pandemic means. And I think we've addressed them in certain business lines, but maybe we can just look at the company holistically and go through each business line and say this is what it looks like the outlook in a post COVID pandemic world challenge like that.
Cameron Groome: Sure. For us, we're not we're not in the travel testing business for COVID. We're not in, we don't support necessarily the little immuno chromatography strip, antigen tests that people get in the pharmacy, that's not our business. So that has zero impact on us the ebb and flow of those. We are much more about well controlled point of care testing, that may happen in a -- laboratory testing that happens in a hospital or industrial setting, where there's a quality system appended to that testing. And those tests have already migrated or migrating to multiplex testing, where you're not just looking at COVID. But you're checking somebody who might have respiratory symptoms, for at the very least COVID, flu type A, flu type B and another common virus called RSV. So that shift is already happened. For DxTM, we're going to see again, in the institutional settings, more multiplex testing rollout; we already know that DxTM is extremely suitable for testing for other viruses as well. So I think the -- and then for our antigen business, we don't sell COVID antigens, so we're selling every other type of antigen or many other types of antigens. And as people go in for prenatal workups, and people go in for other forms of infectious disease testing, or just seeing their doctor more often, those elements help us. So I don't see a very great impact, the only one notionally is DxTM, but we're still you know, we're still a minority proportion of the overall supply to Ontario, and any, anybody looking at it strategically would be the saying you keep your domestic supply, and cut your importation, not the other way around. So we'll certainly work with policy makers to make sure that that intelligent approach is undertaken. For the rest of our business, I see nothing positives and we mentioned the emergency use application regencies authorization, my apologies, if those are sun setting, that's actually going to help our QAPs business. And, it just speaks to the breadth of the business and we're not a we're not a COVID.
Ken Hughes: COVID is a great example of what we do. It is not what we do. And so there's a whole load of activity that went on before COVID. We talked; I talked earlier about how much VTM was important before COVID was a thing. And, we have HPV we have more [Indiscernible], gastrointestinal we have all the sexually transmitted diseases that we've been involved in before COVID. And subsequently COVID, the whole amount of testing capacity now that needs to be deployed, it needs to have controls, it needs to have VTM. So we we will be addressing all of those markets as we go forward, building the capacities to address them. So basically, the way to think about COVID, it was a nice exemplify, because everything else got shut down right at the height of the pandemic. But as we come out of it, and everything opened up again, we've demonstrated how good we are at this, and our portfolio will take off from there.
Cameron Groome: Yes, and that's a great point. HPV Human Papilloma Virus screening is a great case in point All countries were finally getting ready to move to wave from 1950s Pap testing, where you're actually looking for cancer cells on a microscope slide into PCR based testing to look for those signatures of the viruses that actually drive the formation of the cancers. And that was delayed for two years plus, as COVID swallowed up all the PCR capacity and build far more than it ever existed. Now as COVID is starting to calm down. We're seeing all sorts of jurisdictions, including Ontario, finally getting back to saying okay, we've got to roll out these HPV, molecular PCR screening programs that we plan to do two, three years ago. And Microbix is right in the thick of that as well. So these are things that will benefit us likely, far more than COVID.
Deborah Honig: You talked about multiplex testing, what are the barriers to adoption and how do you see sales evolving for these new testing methodologies?
Cameron Groome: Well, good, good question. Price is always an issue and price is, you always have to look at price versus value. So if you're going in and you've got the respiratory disease symptoms, for example, you can look in and you can probably get now, a little COVID immunological antigen test for 10 bucks at pharmacy, or you could get a multiplex PCR test for probably 50 bucks, that would distinguish between and tell you exactly what virus you have. And that has clinical implications. And as we see the availability of those, what is what is one is price, the other is value. And we need to see the policy makers globally recognizing the difference. And I think in many jurisdictions they do and look and say this is clinically relevant. And that applies in a whole bunch of variants, somebody is going in and they thought symptoms of a genital infection, for example, is that is that Chlamydia is that, Gonorrhea is that Trichomonas Vaginalis is that, Mycoplasma Genitalium, all of those have clinical implications you want to know. And then you can take it to the next level and in some case, and in all cases, say, what does this mean from a patient treatment and cure point of view, and the next generation testing be looking at the antibiotic resistance profiles of the specific infection. So let's first type it, then let's figure out how best to treat it. And boy isn't that a lot better for everybody? If you make those decisions quickly, and accurately, and then don't have complicated, morbidity and mortality associated with doing the wrong thing or not doing anything? The wonderful thing that I love about diagnostics is this is all about spending 10s of dollars to save hundreds, 1000s 10s of 1000s, hundreds of 1000s this is these aren't ridiculous billion dollar patient treatment costs. These are talking about spending 10s of dollars to save many, many, many, many times that amount. So again, I'd say cost versus value.
Deborah Honig: Got it. And then I guess it's somewhat related question deals with point of care diagnostics. I think the question relates to not Multiplex but just single use? Do you feel that the POC diagnostics will grow faster than the PCR market? Are they becoming more accurate and reliable?
Cameron Groome: Let me handle the backside of that question first. It's our job to make sure that they've become more accurate, more reliable. And if Microbix has anything to say about it, then, we'll be a part of those, all of those tests, making sure that they're accurate, reliable. So that's why we're excited. And the other element is it's pretty widely thought I think you can, everybody can Google this pretty readily that most market research sources believe that point of care side of testing is growing at somewhere around double the rate of the laboratory based testing market. And, and sort of, I grew up as a kid watching Star Trek and Dr. McCoy going round with the tricorder and you say, Hey, isn't this great? What's wrong with you? Well, we're getting, it's, you probably didn't see a koi stuffing and nasal pharyngeal swab up anybody's nose. But, we're moving closer to being having that lab in your hands in a real fashion. And it won't be something you carry around on a purse strap, but it may be available in the pharmacy in a school in a in an industrial setting. And to have a menu of tasks that are all multiplex that are all well controlled, quality setting, and that can give you that rapid diagnostic information that we all we all want. So very exciting times.
Deborah Honig: Ken, and looks like you got something to add.
Ken Hughes: Yes, I was going to say we don't make tricorders [Ph] we just make everybody's tricorders better. Sorry, I couldn't resist this.
Cameron Groome: Well, okay. 
Deborah Honig: Okay. So I think we've addressed this but another question came in what is the status of QAPs automation in the current building? When will full automation be completed? And are there still we already addressed plans for?
Cameron Groome: Yes, QAPs is now we’ve automated pinch points of QAPs production in the current building in 235 Watline. And our manufacturing specialists are still looking at where do we hit capacity on a semi-automated basis. And your best estimate I have right now that these numbers are changing as we as we look and do more and more runs. But with visible contracts that we're hoping to have concluded or hope to conclude shortly, we may be at around 60% of capacity at 235 sold through shortly. So that's where we think about what can we automate within 235 without having to shut down production at 235. So at some point, we look and say, do we, can we do that and well, still working and not disrupting flow? Or do we just need an empty tile for physical space to do that, and then and then backfill with further or further automation. And again, this isn't about getting rid of people. This is about getting rid of drudgery, and redeploying people progressively to higher value tasks and lower directory tasks. So we can grow sales without dramatically growing headcount. And we'll always keep the semi-automated capacity for short run custom products, where it doesn't make sense to spool up a more automated production line. So you really want that flexible manufacturing, depending on lot size is very effective. Ken, anything you'd want to supplement there.
Ken Hughes: Yes, on QAPs there are multiple unit operations that can be automated, can be optimized and automated. And that's going on an on-going basis. So we've actually come and alluded to post ceiling recently, the labeling opportunities and various other unit operations that can be readily automated and we're moving on that. It's not a case of dropping off for production lines soup to nuts in any one particular time. Or we're building towards that. The idea is really to have the capacity needed for where we are in the game right now, when we have more than enough capacity in QAPs. With VTM, we have the semi-automated system in place already, we can do that in parallel, we continue increasing capacity, but then we've got the full line in soup to nuts. QAPs is a little bit more diverse in its activities and unit operations can all be optimized and operated. And that's what we're doing on an on-going basis well with the development team.
Deborah Honig: How easily can the lines be retooled between the business segments?
Cameron Groome: Not sure what you mean by the question ever, could you rephrase it?
Deborah Honig: Can you take QAPs production and you know change into VTM or VTM production and switch it over to QAPs with a separate…
Cameron Groome: Well with the QAPs we had a demand for large amount of liquid form QAPs for example, there jigs we can swap out in the retool in the VTM line, moving from the larger VTM file to a smaller QAPs file would be certainly possible in that regard. With regards to the swab formatted QAPs, though those are their own specific format and we'd be able to look at different swabs for example in a automated or semi-automated swab production. So if we needed to go from a nasal pharyngeal swab to a vaginal swab, for example, those are more trivial changes that would be…
Deborah Honig: Okay. I've got another compound question for you, Cameron. Looking backwards total quarterly revenue has stagnated for a year from a high level, can you explain what we should be looking for? That will tell us to anticipate what pace we should expect to get closer to capacity? We've been optimistic about top line growth for a number of quarters and it hasn't fully materialized yet other than the recent 5 million recurring QAPs deal, just looking for some color on the pace of things.
Cameron Groome: Yes, absolutely. There have been delays on the part of our customers in concluding due to supply chain and other issues with their enrollments. So, we've been looking to see that breakout from the sort of 5 million run rate moving towards the 10. And we see that beginning in Q4 and that will gain steam, going into fiscal 2023. And through fiscal 2023, as we see different customers coming on, coming on, what's the word I'm looking for coming online, in terms of QAPs take up from us. So, certainly that's been delayed, not derailed. And I think there was some other people who are looking for our revenues to fall off a cliff as if we were some travel testing company, related in relation to COVID. And certainly, that hasn't happened. So we built the foundation. And now, it's all starting, it's all coming together in in a planned way for us to move up next level of revenues.
Deborah Honig: Okay, got a couple other small ones? What kind of inventory do you currently have on hand to VTM now? And as VTM order, sorry, as VTM capacity comes online, will you build products in advance of hopeful orders? Or will you wait for orders to materialize before ramping?
Cameron Groome: There's about a month long production cycle for VTM between production and a whole step to ensure stability. So there is a time to build inventory, we have built some significant inventory for fall. And we want that available on an as needed basis. Certainly, we were able to respond very quickly, last Christmas with the Christmas Eve delivery as the Omicron wave moved through. And we want to show the same sort of value added and responsiveness going into the fall this year, when you know, the UV isn't so strong and people start to have to move indoors, we will see a resurgence of respiratory viruses, whether that's COVID or flu or something else. That's why you call it flu season.
Deborah Honig: Okay. And I had a hell of a question for urokinase. So I do not see any OEM or large medical supply company ever be selling urokinase without having an opportunity to own it outright? Can you provide some insights here?
Cameron Groome: Well, of course, that's opinion not fact. For us, this is about a partner that's committed to provide the economic support to revalidate a new source of manufacturing of drug substance, the active ingredient in drug product, the finished format, and then to do the marketing. You're not a drug marketing specialist of knowing all the vagaries of regulation in candidates less on that. We do know how to make the product. We will supervise a qualified contractor making product assist with the regulatory and assay revalidation and help that partner bring it forward. And, whether that is somebody else owning the biological license application, the PLA with us having it paid back, right? If they don't perform or fund or execute accordingly, or whether we own it, they have a license, frankly, that's, six to one half of those the other two us provided that their performance requirements in that regard, and that we're getting a significant slug of the economics once the product returns to market.
Deborah Honig: Okay, I have one final question Cameron. And I think it's a good place to leave off. Somebody just asking kind of a better capital markets strategy and why there seems to be very low reaction to news lately, and what we're doing to promote the company to get more awareness. I mean, I could take the first part of it, which is less who's…
Cameron Groome: That’s going to say I blame our lead capital, but hey, that's just me. Right?
Deborah Honig: Yes. Well, I mean, the fact that most of our webinars run for 90 minutes and there's 50 or so questions for the audience certainly suggest to me that we don't have a small disengaged audience. But I would say for the last six to eight months, the markets have been really tough, especially for small QAPs. So a lot of news items have been liquidation events not just for Microbix, but for small QAPs and in terms of more awareness I know that we're doing a few new conferences and trying to focus more on the U.S. market right now. Yes, I mean, always trying to get out and do new things and meet new shareholders. We picked up coverage from a couple investment banks over the last few years. I feel like we're just on the cusp of being able to really reach the institutional investors, but probably take some top line growth and market cap growth to get the rest of the way. Cameron, your thoughts?
Cameron Groome: Yes, I’d agree with you, Deborah. I mean, we certainly we've taken a hit with the broader small QAP market on coming down from our 52-week high. I think the difference is, we are continuing to gain strength. I mean, if you look at our year-over-year, our financial ratios, September 30 to June 30, last year to June 30 this year, we went from 3.7 on the current ratio to 7.8. We went from 0.55 debt-to-equity to improve to 0.35. I mean, we're moving in the right direction. The company is getting better and stronger while the share prices going down that can't last forever. So, whether that's proven in market tone, whether we make it to market cap that appeals to a broader audience, at some point, the lines intersect, and we'll see a dramatic valuate revaluation. I joke, we can't control when the, the jack in the box jumps out of the box, we can just keep cranking the handle. And, that's what we're doing is running the business and building value for shareholders and we are shareholders. So this is every everybody on the call here and everybody in the management team owns stock and have capital at risk as well as options. So we're, we watched the downside along with shareholders and we drive the upside for shareholders.
Deborah Honig: I agree, I think the business about the stock. But that being said, we are looking for new initiatives and trying to market to new audiences. And if anyone has suggestions, please feel free to reach out. I'm all here.
Cameron Groome: Yes, and we know how two analysts covering us of course, Industrial Alliance and Bloom Burton, Chelsea Stellick and Paul Stuart's at Industrial Alliance and Antonia Borovina at Bloom Burton and certainly we’ll welcome others and hope to gather other investment banks covering us as a healthy and well run growing business.
Deborah Honig: And don't forget Bruce.
Cameron Groome: Yes, and Bruce absolutely. And Bruce Krugel working for, of course, commissioned by Microbix, but very well respected and no bent and not supportable in terms of his own.
Deborah Honig: Yes. And just as a reminder, there is a new presentation that went up on the website today. So feel free to check that out. And if you have any feedback on it, again, feel free to reach out if any of your questions were not answered today. Please feel free to email me and I'll get you response from Cameron. And yes, thanks, everyone, for participating. Thanks for your questions. I think there was some interesting new ones covered today, that's exciting. Cameron, if there anything you wanted to discuss today that we didn't know.
Cameron Groome: No, I would just reiterate that, we have, we have clear goals, to continue growing our revenues and our current earnings intelligently and continue to work towards executing. So thank you and just thank everybody for their interest and support. We really do appreciate it. And we couldn't be doing this without everybody's help and support. So thank you.
Deborah Honig: Well, thank you, Cameron. Thanks, Jim. Thanks, Ken, for taking a break from your vacation to be with us today. And congratulations definitely exciting times for Microbix.
Cameron Groome: Well, thank you, everybody. And if any questions occur to anybody, coming out of this call, please don't hesitate to reach out to any one of us and we'll endeavor to address it.
Ken Hughes: Thanks, everyone.
Cameron Groome: Thanks everyone. Thanks, everybody. Take care. Bye.
Deborah Honig: Goodbye.